Operator: Good morning, everyone and welcome to SSR Mining’s Third Quarter Financial Results Conference Call. This call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to David Wiens, Director of Corporate Finance.
David Wiens: Thank you, operator. Good morning, ladies and gentlemen. Welcome to SSR Mining’s third quarter 2018 conference call during which we will provide an update on our business and a review of our financial performance. Our financial statements and management’s discussion and analysis have been filed on SEDAR and EDGAR and are also available on our website. To accompany our call, there is an online webcast and you will find the information to access that webcast in our news release relating to this call. Please note that all figures discussed during the call are in U.S. dollars, unless otherwise indicated. All references to cash costs and all-in sustaining costs are per payable ounce of metal sold. We will be making forward-looking statements today. So please read the disclosures in the relevant documents. Joining us on the call this morning are Paul Benson, President and CEO; Greg Martin, our CFO; Kevin O’Kane, COO; and Carl Edmunds, Chief Geologist. Also present is John DeCooman, Vice President, Business Development and Strategy. Now, I would like to turn the call over to Paul for opening remarks.
Paul Benson: Thank you, David. Good morning, ladies and gentlemen and welcome to our third quarter call. We achieved our strongest production and cost performance of the year, breaking records along the way, with consolidated gold equivalent production increasing to nearly 95,000 ounces at lower consolidated cash cost of $682 per ounce. We are increasing production guidance at Seabee and lowering consolidated cash cost guidance for the full year, reflecting our strong operating performance and focus on operational excellence. Even more impressively, we more than doubled operating cash flow and continued to grow earnings per share despite materially lower metal prices during the quarter, we also saw the Chinchillas project move closer to commercial production. At Marigold, we produced over 58,000 ounces of gold, an 18% increase compared to the second quarter. We also set a new record for material movement, driven by the enhanced scale of our whole truck fleet and did it at a lower unit mining cost, so a very strong quarter at Marigold. At Seabee, we set a new production record of over 27,000 ounces of gold, while reducing cash cost by 27% to $447 per ounce, the lowest level since we acquired the mine, an impressive result. We also had some strong drill results from our infill exploration program, which Carl will go through later. At Puna, we continue to optimize the value from Pirquitas stockpiles and had a solid quarter, producing over 650,000 ounce of silver, while more than doubling zinc production. But the real highlight was the progress we made at Chinchillas. As Kevin will go through later, we have a number of new milestones and updates to report, including successful processing at Chinchillas all through the Pirquitas mill and completion of the stockpile zone. We remain on schedule for commercial production by the end of this year and that project remains on budget. With that, I will turn the call over to Kevin who will discuss the operational performance in more detail.
Kevin O’Kane: Thank you, Paul. As Paul mentioned, Q3 was our strongest quarter of the year, not only from the increased production we reported a few weeks ago, but also from a cost perspective, both of which drove higher operating cash flow and attributable earnings at the consolidated level. In total, we produced 94,808 gold equivalent ounces, an 11% increase over Q2 at lower consolidated cash costs of $682 per gold equivalent ounce. Starting with Marigold, we produced 58,459 ounces of gold in the third quarter, an 18% increase over Q2, benefiting from the record ore tons stacked in the second quarter. Third quarter production also benefited from faster kinetics for leaching of gold that previously we had anticipated will be produced in the fourth quarter, we are therefore narrowing our full year production guidance to 195,000 to 205,000 gold ounces, considering our strong year-to-date production of approximately 151,000 gold ounces. Cash costs increased largely to $711 per ounce as expected impacted by the lower average grade of ore stacked during the quarter. With all four of our new haul trucks in service in July, we moved 21.3 million tons of material, a quarterly record. We also benefited from shorter haul distance and increased equipment availability during the quarter. As a result, mining costs reduced to $1.51 per ton, an impressive achievement, particularly considering the ongoing higher fuel price environment. As Greg will come to, we are proving Marigold’s full year cash cost guidance as a result of our strong cost performance through Q3. Looking ahead, we expect a strong finish to the year with the commissioning of the new leach pad later in the fourth quarter and are well positioned to meet production guidance. At Seabee, we had an exceptional quarter, breaking production and cost records as the operation continues to hit its stride. We produced 27,831 ounces of gold, a quarterly record, benefiting from a 20% increase in middle grade to 9.52 grams per ton gold. The increase in feed grade, which we expect to moderate in the fourth quarter, was due to planned sequencing at the Santoy mine. We achieved quarterly throughput of 959 tons per day, a 4% increase over Q2 and set a single day record of over 1,440 tons in August, as we continue to test and improve the limiting capacity of the mill through our Operational Excellence program. With our strong mill operating performance, throughput levels over the short term are reflective of the mining rates at the Santoy mine. As the team continues to optimize mining activities and look at delivery of new mining equipment on the ice road this winter. We remain confident in meeting our average 1,050 ton per day target next year. Cash costs for the third quarter were $447 per ounce, a quarterly record since we have acquired the mine and 27% below Q2 cash costs. Our strong unit cost performance was primarily due to the quarterly increase in production, but was also positively impacted by a record low mining cost of $48 per ton. As you will hear from Greg, we are increasing production guidance and lowering cash cost guidance at Seabee for the full year, reflecting the team’s excellent performance for the first 9 months. At Puna operations, we continued processing stockpiled material at the Pirquitas plant and also successfully ran test trials of Chinchillas ore. The lower average flat throughput rate of 3,348 tons per day in Q3 reflected the shutdown in July for major plant maintenance as well as test processing of Chinchillas ore. The plant shutdown involved over 200 personnel on site and was completed safely, under budget and 2 days earlier than scheduled. Two test trials of Chinchillas ore achieved saleable lead, zinc and lead, silver and zinc concentrates and confirmed metallurgical performance of the ore, important milestones as we prepare for sustained ore delivery and commercial production later in the fourth quarter. We produced 660,000 ounces of silver in the third quarter and doubled zinc production to 3.2 million pounds, reflecting processing of stockpiles with higher zinc content. We also produced 372,000 pounds of lead from the Chinchillas ore. Impressively, we achieved higher quarterly silver and zinc recoveries despite lower grades of stockpiles processed, as the team implemented initiatives to optimize grind size and increased resonance time in the zinc circuit, examples of how our culture of operational excellence continues to add to the bottom line. Third quarter cash cost of $17.41 per ounce of silver sold reflects impacts associated with the mill shutdown in July, lower grades of stockpiles processed and limited by-product credits as zinc sales were lower than production. We expect zinc sales to increase in the fourth quarter. Moving to the Chinchillas project, significant progress was made with mine development and construction activities during the third quarter. At the Chinchillas site, pre-stripping activities continued to advance as expected. Approximately 2.1 million tons of waste and 300,000 tons of ore were mined and 73,000 tons of this ore was transported to the Pirquitas site. With the road bypasses around three communities being completed during the quarter, ore haulage rates have continued to ramp up consistent with our expectation of declaring commercial production in the fourth quarter. Construction activities continued as planned during the quarter, including work on the truck shop, fuel station and warehouses. We also completed the power line upgrade between the Chinchillas and Pirquitas sites, a key milestone. At the Pirquitas site, work continued on the stockpile dome during the third quarter, including cladding of the structure and installation of the apex, and the dome reached 100% completion subsequent to the quarter-end. We are particularly proud of this achievement, with the dome assembling over 4,000 structural components, high-altitude and variable wind conditions over a 7-month period. We did it safely, with no dropped objects, on time and on budget, which speaks to the project execution capabilities we have here at SSR Mining. We also made significant progress on the in-pit tailings disposal system during the quarter. In summary, the Chinchillas project remains on track for commercial production by the end of the year. And just as importantly, the project remains on budget. With this successful project delivery and a very strong quarter across the portfolio, we are well positioned for another strong year in all of our operations. I will now hand over to Carl, who will take you through our exploration activities.
Carl Edmunds: Thank you, Kevin. Drilling activities have continued at an aggressive rate at both of our North American operations as we pushed to make significant additions to the reserves at Marigold and strived to convert inferred resources at Seabee. Our exploration update published on Tuesday this week provided a detailed account of activities since our last release in September of 2017. I’ll now go through some of the recent highlights at Marigold and Seabee. At Marigold, our ultimate goal is to convert the Red Dot resource to reserve. This requires completing the infill drilling of inferred, which, if successful, should increasing indicated, updating the resource and then completing ancillary geotechnical drilling to engineer and update the mine plan, all of which we expect to complete by the end of the second quarter in 2019. Towards this goal, we completed 26,960 meters of drilling and 76 holes for the quarter at Red Dot and at adjacent phases of the Mackay pit. Regarding our intent to replace depleted reserves, results announced earlier this week from drilling below final phases of the Mackay pit have been positive, as shown on this section, indicating high potential to expand reserves in these areas, which will be reported to year-end 2018 as normal practice. On the aim to substantially increase reserves at the operations through the conversion drilling at Red Dot, we have received results through the quarter and throughout the year that confirm our model and are adding resources within the same optimized pit volume. We anticipate these additions to positively impact end of year 2018 resources. At Seabee, we continued drilling in the near mine environment at Santoy from surface and underground as well as drilling on early-stage targets on the Fisher option. Over the period, drill totals of 14,580 meters from underground and 14,650 meters from surface with 1,870 meters being completed at Fisher. Underground drilling has returned some excellent gold results, as we continue to convert inferred resources at Santoy 8A. Notable high-grade examples include 18.5 meters at 11.2 grams per ton, 7 meters at 14.1 grams per ton and 7 meters at 12.2 grams per ton. And at this point, we are comfortable predicting that the majority of the 8A inferred resource drilled to date will convert to measured or indicated, and we will add to that as we continue drilling in the fourth quarter. Similarly, results from drilling Santoy Gap hanging wall identified by the ellipse behind the year-end 2017 resources in the diagram have provided further clarity on the nature of the controlling structure as well as returning high-grade gold assay results, such as 4.1 meters at 25.6 grams per ton and 4.8 meters at 12.3 grams per ton. To-date, gap hanging wall is defined by 35 underground holes forming a mineralized zone over a folded strike length of 300 meters with plunge length of 700 meters. Resource grades and widths tend to occur on the footwall side of an S-folded thinning granodiorite intrusion that dips and plunges as a package in a similar orientation as the gap deposits. On the 46 level, the zone is located 100 meters away from existing infrastructure, which allows easy access. The slide shows the spatial relationship between gap hanging wall mineralized zone and infrastructure currently used for infill drilling of the 8A zone. We first announced the discovery of the new mineralization last year and are now confident that gap hanging wall will contribute to year-end 2018 resources. On our early stage Fisher project, we focused on completing field work versus drilling, resulting in only 4 holes being completed. Fieldwork has identified new gold-bearing quartz vein shear zone targets and first pass drill results have been returned with anomalous gold assays. We continue to be encouraged by the geology and widespread mineralization on the property and look forward to receiving the fall’s drilling results later this quarter as we planned for 2019. With that, I’ll turn the call over to Greg for a discussion of our financial results.
Greg Martin: Thanks, Carl. The third quarter showed strong financial performance with sequential growth and attributable earnings and operating cash flow despite the lower metal prices and continued operational transition at Puna operations. Marigold and Seabee really delivered, particularly Marigold on revenue and Seabee on margin. For the quarter, we generated revenues of $115 million and income from mine operations of $22 million. Revenue was up 11% over the second quarter despite the drop in metal prices. Our income statement was pretty straightforward, with expenses tracking as expected and consistent with our low G&A spend. We continued to see an FX gain from the devaluation in the Argentine peso on our moratorium liability. However, the benefit to income was lower than in the second quarter. Our reported tax rate in the quarter was quite high, as it was distorted by the initial recognition of a deferred tax liability in Argentina. So this put net income in a similar position as the second quarter at $2.2 million or $0.05 per share. Adjusted attributable net income for the quarter totaled $10.8 million or $0.09 per share, better reflecting the operating performance. As highlighted by our consolidated cash cost of $682 per gold equivalent ounce, we continue to generate strong margins from our operations with cash generated by operating activities more than doubling from the second quarter to over $35 million. As expected, it was a quarter of heavier investment with the 4 haul trucks entering service at Marigold and the Chinchillas project remaining at full build pace. For the quarter, we invested a total of $56 million in our assets, the highest total quarterly investment in quite some time. From my perspective, it was great to see the trucks having an immediate impact on Marigold performance, and the test trials at Puna validated the metallurgical model. We ended the quarter still maintaining an exceptional cash position of $475 million and total working capital of $649 million. So we remain well positioned as we complete the Chinchillas project to put us back in a position of 3 cash-generating assets. As a result of the strong third quarter at Marigold and Seabee, we are able to improve guidance for the second time this year. Marigold cost guidance improves by approximately $15 per ounce and Seabee production guidance improves by about 5,000 ounces, while cost guidance also improves by $25 per ounce. Puna guidance saw adjustments up for zinc and down for lead, reflecting improved visibility to the type and timing of ore processing. Looking ahead to the fourth quarter, we expect capital spend at the assets to return to a normal run rate with Chinchillas capital spend carrying through the quarter. We would also expect initial draws from Golden Arrow on the $10 million loan agreement we executed with them. It has been positive to see metal prices stabilize and firm up through October and into November. So with Chinchillas commercial production on the horizon and Marigold and Seabee staying solid, I remain optimistic for a positive close to the year. With those comments, I’ll turn it back to Paul.
Paul Benson: Thanks, Greg. To conclude, our operations continued to outperform in the third quarter and our positive guidance revisions are a testament to that. I’m particularly proud of our financial results. While our sector is broadly struggling with lower metal prices and a lack of profitable growth opportunities, we’re increasing cash and earnings per share and delivering on our robust growth profiles for our shareholders. As we approach the end of the year, we look forward to meeting or exceeding production and cost guidance for the seventh consecutive year, declaring commercial production at Chinchillas and completing our exploration programs and moving into the next phase of growth at each of our operations. Finally, I’d like to thank David Wiens for the excellent job he has done covering the IR role, while Stacey Pavlova has been on maternity leave. David is returning to a role in the finance department, and Brian Martin will be taking over that role until Stacey returns from maternity leave in February next year. This concludes the formal remarks for our call. I’ll now pass the line to the operator to take any questions you may have.
Operator: Thank you, Mr. Benson. [Operator Instructions] Your first question is from Mic Sroba with Macquarie.
Mic Sroba: Good morning Paul and team. Two questions on Seabee and two on Marigold for me. First, apart from the higher mining throughput, were there any other factors such as the development ore versus stope ore ratio or ore body thickness that drove the decrease in mining costs at Seabee?
Paul Benson: Kevin?
Kevin O’Kane: There were some minor increases in development – sorry yes, development ore compared to production ore from the stopes, but other than that increased deficiencies.
Paul Benson: Greg, any other finance…?
Greg Martin: So yes, certainly the lower costs were primarily driven by the higher tons mined. Seabee, as we have said before, it’s a – largely it’s a fixed cash spend. So certainly, the unit costs vary a fair bit from just the total tons mined. So it was a productive quarter. I think as Kevin mentioned, it benefited from some wider sills that led to some higher productivity. And we expect to see mining costs vary quarter-to-quarter kind of within the range as we have seen over the last year, just depending on the mining cycles and sort of the productivity and the spots that we are in, which can lead to some variable tonnage over kind of a fixed cost spend base.
Paul Benson: Second of all questions?
Mic Sroba: Yes. So the second one is, given that a plus 1,400 tons a day mill throughput has been achieved, what’s the key bottleneck for maintaining higher throughput levels at the moment, is it the mining or is it some bottlenecks in the mill at the moment?
Paul Benson: Kevin?
Kevin O’Kane: It’s a good question. Predominantly, it’s in the mine. We have been working to continue to release production from the mine and that’s what’s going to see us move to the higher rates that we mentioned for next year.
Paul Benson: I think it’s worth pointing that we have done an exceptionally good job there, increasing throughput through the mill. What we try and do is run it as hard as we can. And then when we can’t keep it full, you see the throughput drop back off. If you look through the presentations we have given recently, I think most recently at the Denver Gold Show, you will see the daily plot and there is a big variation there pushing it to the limit when we can keep it full with ore, but then it drops off again. Obviously, what we said next year, we have already ordered the new equipment to come into the mine that’s limited by the ice road access. So we will bring in two new trucks, two new loaders that will help with productivity in the mine and that’s why we think we will comfortably get that number next year.
Mic Sroba: Okay. Thanks. That’s in – and on Marigold, what percentage of the ore was stacked close to plastic in 3Q and what kind of percentage will be close to plastic in 4Q?
Paul Benson: None in Q3, because we haven’t finished the leach pad and we have just said it will be by the end of the year, we will have it up and running. Kevin, any…?
Kevin O’Kane: Yes. Right answer and probably 28% to 25% close to plastic at the tail end of Q4.
Mic Sroba: Okay. Thank you. And finally at Marigold, what grade does the mine plan call for in 4Q to be stacked?
Paul Benson: We don’t give that sort of forecast. We give the yearly forecast, so just go back and have a look at the technical report and you will probably get the best guess there.
Mic Sroba: Okay. Thank you very much. That’s it for me.
Operator: Our next question is from Chris Thompson with PI Financial.
Chris Thompson: Hi, good morning guys, great quarter. Just a couple of quick questions, we will start off with Marigold, just looking at the processing costs a little lower than what we were modeling, which is good, are they sustainable at these levels?
Paul Benson: Kevin?
Kevin O’Kane: Where we are focused Chris is doing what we can to increase recoveries. And so we – they are sustainable, but we are going to trade off that with increased recovery with increased use of reagents.
Chris Thompson: Okay, alright. Thanks for that. Just I guess moving on to Seabee quick, obviously nice bump in grade there, again can we expect that to be sustainable on a forward-looking basis, mill grade that is?
Kevin O’Kane: As we mentioned in the call, the grades in the fourth quarter will be modified somewhat. We are maintaining the sequence [ph], the key that we are looking at Chris is having a more predictable mining sequence, which will allow us to be more productive and unlock the mine. And so the grades will modify slightly in the fourth quarter.
Chris Thompson: Alright, good. And then just finally galvanizing Puna here, you do mention obviously, you are on budget as far as Chinchillas, what should we – how should we be spreading out the remaining CapEx, should most of it be falling in the fourth quarter or I am looking at fourth quarter through the next year?
Paul Benson: I will ask Greg to comment on that because obviously, with the capital project, it’s also when you actually pay the bills.
Greg Martin: Yes. We will – as we have said, I think importantly the project is on budget. So we are seeing pretty much full kind of full billed pay similar to what we have seen in the last two quarters, we would expect through the fourth quarter. And then we will see some of that roll into Q1 as we clean up some of the infrastructure pieces. And at this point, we pretty much expect the project spend to be terminated towards the end of Q1.
Paul Benson: I mean really nice thing about this unusually is because we already have a plant that’s operating. It’s not like a new mine where you can’t get ore into the plant because you are waiting for the plant to finish. Most of the things that are still to be spent are ancillary to production. So I think like workshop and some of the buildings on site. So the actual mine part of it has gone well.
Chris Thompson: Great. And just I guess just looking for a little bit more color on that, sort of obviously related to what’s happening in Argentina at the moment, on the back of some inflationary pressures and peso devaluation, would you say the two are offsetting each other, if you are on budget still?
Greg Martin: I mean we have certainly seen the peso devaluation outpace inflation through some short-term time periods. But over the longer term, we do expect those two items to offset. And we have seen the peso kind of stabilize and strengthen here through the last couple of months. And I think that’s reflective of that situation. So you get some short interval, either cost benefit or cost pressures. But longer term, we expect an offset. And for us, we don’t – we are not too fussed about inflation in aggregate. What we care about is the relationship between inflation and devaluation. And if those stay relatively in track, then we are in good shape from an operating perspective.
Chris Thompson: Great, alright. Thanks for that. Thanks for the detail. Congrats guys.
Greg Martin: Thanks Chris.
Paul Benson: Thank you.
Operator: Your next question comes from Mike Parkin with National Bank.
Mike Parkin: Hi guys. Congratulations on the good quarter. Most of my questions were answered, but just a couple other ones, in Nevada are you seeing much of a competition for labor, can you just kind of comment with some of the states having low unemployment plus some other competition, are you challenged or is it proving not too bad?
Paul Benson: We haven’t seen any increase in pressure there. And in fact particularly at the senior level, we have actually have some good hires recently with some other changes going on in the state. So no, we haven’t seen any of that pressure flow through.
Mike Parkin: It sounds good. And then on Marigold mine, I think it was kind of asked on the processing cost, but the $1.51 per ton mining, it was really impressive quarter-over-quarter, would you expect that to kind of track similarly for Q4 and into 2019, I guess dependent on your strip ratio and distances to haul pads, but is the new equipment also kind of driving some of those cost efficiencies?
Paul Benson: Obviously, you will see some slight scale help there, but very much driven by how many tons you move per quarter, which is driven a lot by haul distance. So there will be noise and there will be variability in it.
Mike Parkin: Okay. And then from a couple of days ago, you put out some really interesting drill results at Marigold, is that in line with what you were expecting out of that zone or improving better than expectation?
Paul Benson: Carl?
Carl Edmunds: Yes, those like – those results are, as I mentioned they are pretty much meeting our expectation. Going into the year, we wanted to see a moderate increase to the resource. And our past work previously has shown that as we do more drilling we tend to get more ounces showing up. So these increases are more or less fitting our expectations and have continued to do so through the second half.
Mike Parkin: And that’s particularly the case with the Red Dot, but any sort of thinking on what the Mackay is drilling?
Carl Edmunds: Yes. The Mackay drilling, there is areas there that are towards the bottom end of our drilling depths. And you can see that we are tracking on resources that should convert right on the bottom sector of the reserve and resource pit.
Paul Benson: What we always say with Marigold, it’s amazing, the ability the mine has had to continue to more than offset deflation. We remind people it opened in ‘89 with an 8-year mine life, has a 10-year mine life. Through the Red Dot study, we have the potential maybe of increasing the reserve by 30%, if that moves to fruition. And that would be impressive at any mine. But next year, it’s 30th anniversary. So a testament to what an amazing ore body Marigold is.
Mike Parkin: So with these drill results, are you feeling like this equipment replacement studies looking same, more robust?
Paul Benson: It’s all back in at the end of the Q2 call and we will tell you.
Mike Parkin: Okay, alright. Thanks guys.
Operator: Your next question is from Cosmos Chiu with CIBC.
Cosmos Chiu: Hi. Thanks Paul and team and congrats on a very good Q3. My first question is on Marigold here and I think someone else had touched on it, $1.51 a ton, that’s really quite good in terms of unit mining cost and I am sure you have benchmarked it, that would be at the lower end, lowest quartile, I guess my question is, can it actually get any better with say, the increase and increase in availability of the four new trucks, I am not sure what the availability was in Q3, can you actually get even lower than the $1.51 that you have reported for this past quarter?
Paul Benson: Yes. The way we have talked about it is if you look back over the 4 years we have owned it, the year before we bought it, it was mining about $1.92 per ton. We have got it down to that $1.50 level, yes. We have had the easy wins and that was really getting that new equipment that has been acquired before we bought it, running properly the big rope shovel and the expanded fleet. You get a marginal, very marginal economy of scale by adding some trucks. You have obviously moved the bottleneck back to the big rope shovel. So you will see variations. So I can’t – if you have short haul distance and you are not cutting a long way to leach pads, we will get some quarters that are better. But I think generally, that’s where we are. Obviously, our operational excellence continuous improvement is always just trying to slowly improve and offset normal inflationary effects. What we have said is that to be a step change, you would need to bring in additional equipment and that’s what that part of that equipment replacement study is going to look at next year, does it make sense to do anything on that front.
Cosmos Chiu: Of course, maybe taking a look at the CapEx numbers here at Marigold, as you have mentioned earlier, it was high in Q3, just given the fact that you have got the four new trucks, what should we be expecting, say next quarter or can you remind us of the sustaining CapEx level and what we should be looking for in terms of CapEx on a quarterly basis once you get back to normal?
Paul Benson: I mean we don’t give quarterly guidance, but I would say just go back and have a look at the technical report for the annual guidance. But Greg, any color?
Greg Martin: Yes. I mean we provide you with annual capital guidance Cosmo and obviously, we have the year-to-date number. So it’s pretty easy to imply what we expect for Q4. The main item in Q4 is finishing the pad build, so it’s a bit higher than what we would call normal, because the pad builds in Q4 and then be back to kind of a normal run rate in Q1. So I think it should be pretty clearly laid out, if you look at our outlook.
Cosmos Chiu: Sure. And then maybe the same type of question but now for Seabee, as you kind of mentioned Q3 CapEx was quite low, again could you remind me was that by design and what should we be looking for in Q4?
Greg Martin: Sure. As we have talked before, there is a seasonality aspect to the capital at Seabee that’s important to just consider as you sort of look at it, particularly in the way it impacts on all-in sustaining costs and therefore the kind of how that cycles through the year. We will tend to see a big slug of capital come in through Q1 and the early part of Q2 as we bring all the capital items on site. So particularly as Paul mentioned, next year with mining equipment come on, that will all get recognized in Q1. We tend to then get a bit of capital come through, through the summer construction season. If we are building a particular piece of infrastructure, it would tend to happen at that point. And typically, Q4 would be pretty light. So that’s the kind of cycle you would expect to see. And the quantum of that will really depend on activities that are going on at the site in any given year.
Paul Benson: And again we put the technical report out for that and that envisaged new equipment coming in. So go back and have a look at that one as well.
Cosmos Chiu: You are just trying to make me do my work, Paul. But that reminds me, when should I start asking you about the ice road again, it should be coming up pretty sooner?
Paul Benson: Yes. If you put your little weather app on to La Ronge, you will see that time is nice and cold there, but it gets – they start to work on it in the coming months and then the equipment really moves across majority in February.
Cosmos Chiu: Okay. And maybe one last question from me here, what’s your criteria for declaring commercial production at Chinchillas and how many months of, say revenue should we be forecasting, targeting or modeling for Q4?
Paul Benson: It’s my pleasure to pass that one to Greg.
Greg Martin: Yes. So I mean, our – it’s a bit of a unique project, say because of the plants there. So really what we are looking at is sustained ore delivery from Chinchillas to the Pirquitas mill is being the main trigger for commercial production. As we have said, we expect that before the end of the year. So there is not many months left in that period. So you can estimate from that time horizon. That will effectively stop the pre-strip and move the pit and the related infrastructure. We would start to depreciate that. And as I mentioned earlier on the call, some additional infrastructure items would continue to be capitalized beyond that point of commercial production of the pit and we would see those come through the remaining of Q4 and into Q1.
Cosmos Chiu: Great. Thank you. That’s all I have. Congrats again and have a good weekend.
Greg Martin: Thank you.
Operator: Your next question is from the line of Michael Gray with Macquarie. Please go ahead...
Michael Gray: Yes. Good morning Paul and team. Just one question for Carl on Santoy Gap hanging wall, you gave the dimensions700 meter plunge, 300 meters strike through zone and 35 holes drilled with 12 being significant, do you have a bit of a nugget effect problem there in terms of a good hit ratio, but in terms of the number of significant intercepts?
Paul Benson: It’s some – it’s a good question, Mike. That’s – our experience with the mineralization is that it is similar to what are on in the main gap deposits on the number nine and eight structures.
Michael Gray: Okay.
Carl Edmunds: The way this is dealt with is in our press releases. There is a standard capping thrown on it. I think it’s at 75 grams. But then when it comes time to doing the resource, there is a full assessment of what the distribution looks like and so on. There is – there are much higher grades in it and so it is susceptible to nugget issues.
Paul Benson: And there’s definitely a build on [ph] issue to the…
Carl Edmunds: Yes. It’s conforming to all the other structural elements.
Paul Benson: And it’s only – but it’s nice to be able to find something in the shadow of the existing infrastructure.
Michael Gray: Yes. And maybe just a follow-up Carl and to the extent you have given us a bit of a structural picture, is that a pattern that you think can be repeated or is this a one-off or is it too early to tell?
Carl Edmunds: I wouldn’t preclude there being repetition of similar features. The – it’s been generally, I think well known at the project. There is an association between these granodiorite intrusive dike-like features that have come in along the foliation that’s in the metavolcanics. And they are associated with the mineralization. What you do see when you go underground in the very productive areas is that these dikes have thinned out. So they are prevalent with a bit of asymmetry, sort of they are more prevalent on the right hand side of that long section. But as you migrate across the left hand side, you get away from the dikes. But they are there and we have got detailed rock models showing them.
Michael Gray: Okay, very useful. Thank you.
Carl Edmunds: Sure.
Operator: The next question and final question will be coming from the line of John Tumazos from John Tumazos Very Independent Research.
John Tumazos: Thank you very much. Two, if I may. Was the Chinchillas CapEx winding down? Should we expect cash flow, cash balances to rise or cash flow to be more than uses? Last year, you generated more cash than you saw in marketable securities this year, the opposite because of the CapEx in deferred stripping, etcetera? And second question, we admire greatly the Marigold transaction, Seabee transaction, the attempted transaction on Kirkland Lake a couple of years ago. Gold prices have fallen, gold shares have fallen, some gold shares have fallen a lot with tax selling this time of year. Could you tell us – I admire how you have kept your powder dry this year. Are you waiting for gold to fall to $1,100 or $1,000 or is it just an opportunity out there as good as your last several transactions or attempted transactions?
Paul Benson: In terms of the first question around cash, yes, we expect next year to return to putting cash back in the bank with the build of Chinchillas and lower production because we are processing stockpiles, that site is consuming cash this year. We are investing in the future. That’s good, but you will see all sites running at a fuller rate next year. And you see from now through to, what’s it 2021 or 2022, a 40% growth in gold equivalent production across the portfolio. So the years after that, we should get better as well. In terms of that looking for external opportunities, yes, what we have said is that yes, we have actually done four transactions in 5 years. We did Marigold for cash, which then enabled us to buy the Valmy Property next door, which will ultimately fit into Marigold for cash. We have got Chinchillas through an earn-in option, putting money in the ground and finally the Claude acquisition. Since we did Claude and I think we closed that May 2016, we have now looked at nine opportunities under confidentiality agreement and not move forward with those and that’s just because we couldn’t see value for our shareholders. Obviously, as gold price drops and share prices come off, that can change that metric. And occasionally, we go back and revisit. But to-date, we haven’t seen anything where we believe there was still value left in there for shareholders once you put some sort of transaction premium in, but you have got to continuously look and we will continuously look.
John Tumazos: So you think the sellers are still asking for too much in effect?
Paul Benson: Yes, market premiums sort of – unfortunately, yes, they can be significant. Interesting that last transaction, the big one you saw a zero premium merger between Barrick and Randgold. I think that’s a nice precedent, but you have got to look at each. And some of the projects we have looked at or companies whatever have been very good, but you just couldn’t clear the premium. Yes, others, not quite as good, there are certainly things that once you dig down into the detail, I know it’s pretty as I look in the – just in the public information.
John Tumazos: Thank you.
Operator: Thank you. This concludes the question-and-answer session. I will turn the call back to Mr. Benson.
Paul Benson: Okay. Thanks very much everyone for joining the call. Have a good day. We will speak to you next quarter.